Operator: Welcome to Clear Channel Communications and Clear Channel Outdoors First Quarter 2006 Earnings Release Conference Call.  As a reminder this call is been recorded.  At this time for opening remarks and introductions, I would like to turn the call over to the Senior Vice President of Investor Relations, Mr. Randy Palmer, please go ahead sir.
Randy Palmer: Good morning and thank you for joining us for Clear Channel Communications and Clear Channel Outdoors first quarter 2006 conference call.  Joining me today for the call are Lowry Mays, Chairman, Mark Mays, Chief Executive Officer, Randall Mays, Chief Financial Officer, John Hogan, Chief Executive Officer of Clear Channel Radio, and Paul Meyer, Global President of Clear Channel Outdoor. Mark will open up the call and will be followed by Randall.  After Randall’s comments, we will open up the lines for questions.  Let me note the statements made during this call may contain forward-looking information.  These forward-looking statements involve known and unknown risks, uncertainties and other factors which may cause the actual results, performance or achievements of the companies to be different from any future results, performance and achievements expressed or implied by these statements.  The following important factors among others could affect future results causing these results to differ materially from those expressed in our forward-looking statements; things such as changes in general economic conditions both domestically and internationally, industry conditions, fluctuations and exchange rates, and currency values, capital expenditure requirements and legislative or regulatory requirements.  The complete list of risks and uncertainties are noted in Clear Channels Communications and Clear Channel Outdoor securities filings and the press of releases that were released this morning.  If you did not receive a copy of the releases, please contact our investor relations department at 210-822-2828 or go to our website at www.clearchannel.com or www.clearchanneloutdoor.com.  A replay of this conference call will be available for 72-hours.  I will now turn the call over to Mark Mays.
Mark Mays: Thanks Randy.  And good morning everybody thanks for taking your time this morning to join us for the Clear Channel Communications call.  As you know this call will cover both Clear Channel Communications and Clear Channel Outdoor.  Over the call, I will review each of the operating segments and after I have completed my operating commentary, Randall will review the financials for both the companies.  We will then open it up to Q&A for both the companies. I’d like to begin my discussion this morning by taking a look backward.  When we announced and implemented our strategic realignment last year, our primary strategic purpose for implementing the plan was to create an environment for our operating divisions that were foster long-term growth.  As we look at the first quarter, I am exited that our operating results show that we have started to accomplish our goal.  Clear Channel is a company focused on innovation, informed planning, aggressive execution, strong operating performance and increased cash generation.  The Q1 performance demonstrates that the investments we have made in our business are clearly paying off.  As a result of the efforts and innovations for the last 18 months, we have developed tremendous momentum.  Clear Channel has reached a point where are deriving the benefits of our industry leadership or highly profitable and cash generated to business model in our emerging digital media businesses.  With that context let me turn to the operating division’s Q1 performance. First let me talk about radio, radio revenue grew 5% during the quarter.  The radio segments, our growth across this revenue streams led by strong growth in national.  Our ratings continue to improve, our advertising environment improved, our rates continue to improve, our yield per minute continues to improve.  Anyway you look at it; we have generated a great improvement in the first quarter.  And of course, we dramatically outperformed the radio industry in Q1 which was our first apples-to-apples comparison of similar inventory levels. Let me explain why it make an important distinction.  It is important to understand that Clear Channel has moved beyond its being in the radio industry.  In fact, if there is one idea that I can get across to you today about Clear Channel radio is say, we have moved beyond just being in the radio business.  Why are we different from the radio industry?  First, we are in the content creation business.  We find, develop, produce and promote content like no other radio or audio entertainment company.  We have invested an unprecedented programming initiative to provide compelling and unique entertainment and information products to local and national audiences through our current and future distribution platforms. Some of the investments we have initiated that differentiate us, starting with our Clear Channel radio content and development unit and our format lab.  These diverse creative changes are exclusively engaged in developing innovative new formats, talent and programs for all distribution platforms including for HD, HD2, internet, MP3 devices and even cell phones.  We have developed a Clear Channel radio programming fronting.  Actively developing on-air personalities, shows and programming specialists in smaller markets and further graduated to larger markets as their talent is honed and developed.  We’ve invested in syndicated programming, nationally syndicated high quality programs developed through premier radio networks such as Steve Harvey, Ty Pennington, Maria Bartiromo and others have joined the incomparable, Rush Limbaugh, Delilah, John Boy and Billy, Bob & Tom, Jim Rome and Donald Trump many others on the premier network.  We are also producing complete 24x7 formats for use by other broadcasters. In addition, our recently formed Hispanic programming division has developed exclusive new content as well.  La Preciosa Network, Viva and other new Hispanic formats are tracking record audiences and providing a compelling opportunity for advertisers.  Clear Channel radio currently operates 31 stations that features Spanish language format and we are uniquely positioned to compete in a rapidly expanding Hispanic content arena. We’ve also invested in our Clear Channel online music and radio group, which is our aggressively successful internet platform.  Clear Channel online music and radio is creating exclusive high quality original programming including things like Stripped, Sneak Peak, new as well as providing thousands of video-on-demand choices.  They are creating not only rich robust website and audio choices; they’re creating original video and flash animation products as well. Additionally, local content by our total traffic division had grown to include over 120 markets and its now providing traffic and so into data not just the other broadcasters but the third party providers, as well as In-Car Navigation Systems.  Of course, none this should be a surprise because we do more consumer research than any other audio company.  Over 25 million calls per year on current programming initiatives, focused on what content consumers want, and what content they may want in the future.  This content creation development advantages that we have continues to do our audiences now and in the future.  Of course, consumers are noticing not only our great content, but the better and listening environment that we have created for them. In addition to being a great content producer, we have moved beyond the traditional radio model with regard to our distribution.  They are constantly improving our terrestrial signal which helps us today and for tomorrow as we migrate to digital with our existing distribution platform.  We had heavily invested in HD radio implementation with 250 stations up in running and HD2 radio stations with 125.  Again, we have dedicated an enormous amount of resource to the internet distribution opportunity to our Clear Channel online music and radio group, which consists of 900 plus sites that are high quality and content rich.  They currently stream over 500 of our stations and Clear Channel radio has downloaded over 12 million podcasts.  We are providing content-on-demand on both audio and video forms on the sites as well. We are also developing other mobile distribution opportunities for our content and are partnering with Motorola, with product such iRadio and Sprint with product such as mSpot and also partnering with other side of our distribution platforms for our content as well.  In addition, we are working with folks like BMW and Garmin on distribution local content such as traffic through our existing radio frequencies. In addition, we are the most advertiser focused marketing company.  We have focused on a better, more competitively advantage environment.  We have focused on better measurement tools for that audience.  We have focused on creating additional advertising choices which include shorter length spots, on-air and online synergies, customizable footprints, geographically, formatically, demographically or promotionally that cannot be duplicated.  We have developed our creative services group, a group of talented creative minds dedicated exclusively to working with our stations and advertisers to develop better, more compelling commercials that make the critical emotional connection with listeners for their best return on investment for advertisers. In addition, our proprietary systems which include traffic inventory and rate management around parallel and allow us to provide ease in speed of access to stations. We have fully developed and are deploying electronic invoicing and are developing an ecommerce platform to fully automate the business process.  And significantly our people have come to the realization that we are focused on a long-term future and growth of our business.  They are more innovative today they are better trained today, they are better prepared for change and opportunities, they are years beyond thinking about radio in the traditional sense and in mood to operating in a new Clear Channel environment of great content distributed through a variety of platforms and monetizing it by providing a most effective and efficient solution for advertisers. Clear Channel radio is prepared to compete and lead in the audio entertainment industry as we move forward.  We are distribution platform agnostic and content event listing.  We are optimist what is the long-term growth rate for radio?  The truth is I don’t know, not do I believe it is relevant to Clear Channel because we have distinguished ourselves from the rest of the radio industry.  We are strategically different, operationally different and philosophically different.  In the first apples-to-apples comparison in the new Clear Channel radio division, we have grown 5%.  As we look into the second quarter, we are currently pacing up 3.4% for radio.  As we experience during the first quarter, we do feel like we will see improvement as we go through the quarter.  And as we noted in our previous call, we expect radio expense growth to be 3% to 3.5% for the year with higher growth beginning of the year versus the back half of the year.  We remain countable with that range of expense growth for the year. Moving to the Outdoor divisions in Clear Channel Outdoor, I know that we have heard me talk many times about the Outdoor renaissance and how excited we are about the Outdoor renaissance.  I could not be more excited about the future of our Outdoor division.  During the first quarter, we continue to experience growth in our Outdoor business both for the America’s and internationally.  Using constant dollars, Outdoor revenues increased 8% during the quarter and OIBDAN growth was 16%.  These are obviously tremendous results.  And looking at the Americas business, they experienced 8% revenue growth and 16% OIBDAN growth during the quarter as well.  This growth was led by our bulletin business and our Airport business.  Most categories were also very strong, especially entertainment business and consumer services, insurance and real-estate. Looking at the international sector on a constant dollar basis, our revenues were up 9% with OIBDAN growing 15% for the quarter.  This growth was due in part to Clear Media which we began consolidated in the third quarter last year.  Clear Media plans release their earnings prior to the following of our 10-Q which will include the exact amount for the growth that is attributable for Clear Media.  The remaining growth internationally was driven by our street furniture business; countries that had good growth include France, Italy and Australia. As we look into the second quarter, the Americas business is currently pacing up 4.8% and the international business is pacing up 0.8%.  It is important to note that all pacing information is given excluding any foreign exchange effects.  So as on a constant dollar basis and also includes Clear Media in both 2006 and 2005.  Also similar to radio, we would expect that this improves as we move through the quarter.  The Americas Outdoor business continues to carry the momentum into 2006 and we like what we see for the entire year. In addition, we are seeing good results in some of our international operations and are seeing improvements in some of our markets such as France that have been challenged over the past year or so.  Again, similar to radio, we’ve made tremendous amounts of investments in products and services that are creating upside for our Outdoor business.  Our ability to provide unique customer service and a can ability to our advertisers has made more market sheets Outdoor as an advertising tool.  On the product development side, we announced on Monday that we have rolled out an additional markets for a digital display network in Las Vegas, of course we are only three days into that launch but it shows our continual belief that digital offers upsides economics of the Outdoor model and we look forward to updating you in the future on additional markets we plan to roll out this year. In closing, I would like to say that we are very pleased with our quarterly results and believe that we are headed in two way strong 2006.  Most importantly we think Q1 is indicative of the investments and plans we have made for the long-term growth of our businesses.  With that, I would turn the call over Randall.
Randall Mays: Great, let me first start with Clear Channel Communications and then I’ll move over to Clear Channel Outdoor.  Looking at Clear Channel Communications for the first quarter of 2006, Clear Channel experienced 4% revenue growth with 6% OIBDAN growth.  Net income for the quarter was $97 million or $0.19 per share, excluding pre tax gains our net income would have been $73 million or $0.14 per share which been compared to the first quarter of 2005 represents growth of 17% on the per share basis.  Since announcing our intension to return approximately $1.6 billion to our shareholders in August of 2005, we have repurchased over 42 million shares of our common stock for approximately $1.3 billion.  We currently have $343 million remaining under our share repurchase authorization.  In total, since we first announce the share repurchase program in March of 2004, we have repurchased approximately 120 million shares or almost 20% of our shares outstanding. Looking at the balance sheet, CCU’s long-term debt at March 31 was $7.6 billion with leverage that find us debt net of cash divided by the trailing 12 month EBITDA of 3.6 times.  It should be noted that when we announced out initial strategic alignment plan are leveraged to the 3.3 times.  We have now substantially completed our return of $1.6 billion in capital with only a minimal increase in leverage.  We continue to be committed to maintaining a strong balance sheet and leverage levels that we believe are consistent with an investment grade company.  CapEx for the quarter was $64 million for CCU, we still expect that our 2006 CapEx will be relatively the same as 2005.  Networking capital for the quarter for CCU was approximately $106 million to the positive.  Looking over to Clear Channel Outdoor, looking at the first quarter of 2006 Clear Channel Outdoor experienced 3% revenue growth with 14% OIBDAN growth.  Considering the effects of foreign exchange, the growth would have been 8% and 16% respectively Clear Channel Outdoors balance sheet, the long-term debt at March 31 was $2.6 billion with a leverage again defined as debt net of cash divided by the trailing 12-month EBITDA of 3.5 times.  Just like CCU, CCO is also committed maintaining a strong balance sheet.  CapEx for the quarter was $44 million and we still expect that CCO will have CapEx relatively the same for 2006 as it was in 2005.  Net working capital for CCO was use of approximately $25 million for the quarter.  With that, I will open it up for questions.
Operator: (Operator's Instructions).  We’ll pause for just a moment to assemble our queue. We will take our first question from Victor Miller of Bear Stearns.
Victor Miller: Good morning, two things.  Mark and John, if you there, the, we are all surprised by this release that you actually cited the large markets in the radio to be your best performers when lot of people thought that was the weakest part of the radio market, maybe you talk about the dynamics that you saw in the large markets and how much share you might have taken from competitors?  And then Randall, in the 10-K talks about $450 million of total tax refunds partially from the capital losses from live plus $100 million of over payment taxes.  Have you received that money?  And you also have a note in the 10-K that talks about your $1.5 billion capital loss that remains and that you’ve set aside a tax valuation allowance of $571 million, does that really mean we realistically over the next 5 years you believe that, your likely to, very likely to at least utilize $1 billion of that net capital loss?  Thanks.
Mark Mays: Victor I’ll, I’m going to take the first portion of that, I’ll then pass over to John Hogan who is with us here.  The large markets, if you look at it there was a distinguishable difference and, I would tell you that, if you look the Miller Kaplan reports, the outperformance was even more dramatic than the, than the results that are indicated in the release show.  So, yes, those are tend to be the larger markets driven in Miller Kaplan reports.  So, I would tell you that the, your observation is correct and the, clearly is because believe we have distinguished ourselves, again it goes our ability to use our content and drive revenue streams that others are not able to drive.
John Hogan: That’s right the, I think the reasons Victor are first and foremost that we have better products in those larger markets, our conversion to a better listening experience or less cluttered environment are resulting in better ratings.  You’ve seen that the fall book, last summer’s book and the spring book in a while.  The winter book is still coming out, we’re, we’re very encouraged in fact, we’re up in 7 of the top, top 10 markets are still waiting for the balance of those books to come out.  And I think, I think also our national performance improved this year, we have gotten off to, to a great start and obviously there is more national business in our larger markets and, and the third thing I think that, that we’re offering a different opportunity for advertisers.  We’re, we’re giving them more choices, we’re giving them more opportunities we have, we have clearly said ourselves apart by having the lowest commercial inventory levels in the industry, we have further set ourselves apart by clearly having the shortest stop sets in the industry which makes, which makes for the most competitively advantaged positions for advertisers.  And I think that through the, really hard working consistent effort over last year of the sales managers and sellers and all of our markets, but in particular in the large markets we, we really began to get out message heard and understood and embraced by advertisers.
Victor Miller: Thanks, good.
Randall Mays: And Victor on the deferred tax assets for the capital loss of $571 million, that is the net amount of the overall $1.5 billion gross loss that we just multiplied by 38%.  We have reserved 100% of that because we don’t know whether or not we will use it.  If we do use it, then we will reverse out that loss, but for right now we have fully reserved it, because we don’t know definitely that we will ever use it, but we do have 5 years in which to we actually use it and clearly I think as, as we go forward, we are focused on how we might be able to do that.
Victor Miller: And the $417 million, have you got that yet?
Mark Mays: 133 came in, in the first quarter and the reminder we expect to come by the end of the year.
Victor Miller: Thanks.
Operator: Thank you.  We will take our next question from Jonathan Jacoby, Bank of America Securities.
Jonathan Jacoby: Good morning, thanks to taken the question, nice quarter.  2 questions, first following up on Victor’s questions, sort of given the implied valuation for the company’s radio asset, the task that looks like trading about 9 times free cash flow, would you guys consider further modernization of interest in other businesses.  And then, second question clearly you had inter-quarter revenue improvement, you sort of, feel pretty comfortable that you are going to see the same thing in 2Q.  Can you give us a little bit more color maybe on the first quarter and how things have started off in the second quarter?  Thanks.
Mark Mays: Jonathan with regard to, if you look at it the, I am getting a reverberation here, but the, if you look at it Jonathan yes, the answer is we do believe that we are trading a, maybe not to a full value in the public market and that is why Randall has said we have bought back 20% of our shares over the last 3 years.  So yes, we do believe that is an attractive investment and are buying back our shares to that extent.  As you look at it with regard to, what was the second one?
Randall Mays: Jonathan asked how the current quarter shook out; and Jonathan what I would tell you is that our performance in Q1 was again driven by improved ratings that’s the foundation for it, but it was also driven by the fact that we have better systems and in turn better insight.  We did a significantly better job of managing and pricing our inventory and across all of our spotlight 60’s, 30’s and 15’s.  And we saw the benefit of that in our local business, in our national business.  We saw improvement in our traffic business and we saw significant percentage increases in our online business.  So, it was really, sort of a multi-stream contribution, we are seeing the same kinds of things as we look at Q2.
Jonathan Jacoby: Just a follow up on the first question a little bit for clarity.  You are almost done with your $1.6 billion capital return plan; I mean what are your thoughts as you sort of near the end?  I guess.
Mark Mays: As we look at it Jonathan, as we have always had is we will and continue to look for ways for return capital for shareholders.  Obviously, we have done the majority of that over the last few years by buying back stock, because we think it’s very attractively priced and that doesn’t mean that we will or we won’t as we move forward.  But that’s certainly is the way that we have been biased in the past.
Jonathan Jacoby: Thank you.
Operator: Thank you.  We will take our next question from Lee Westerfield of Harris Nesbit.
Lee Westerfield: Thank you very much, moving in a different direction, I wonder if you could elaborate a little bit further with some of the newer media and platform developments in terms of partners, how are your new relationship with Google is it preceding in terms of affiliation with them?  Additionally, what we should be thinking about for the remainder of the year in the area of wireless partnerships, I know that you have initiated such partnerships with the mSpot and with iriver coming up anything further that we should be thinking up for the remainder of the year in wireless or in the search market place?
John Hogan: Well I think that you can definitely count on us to continue our efforts in these new distribution platforms, it is an integral part of our plans moving forward, I will start with the Google relationship, we are extraordinarily pleased to have them as a partner in our search business, they will be providing the search capabilities for us which we think is a tremendous advantage for our consumers as well as our advertisers, we as you noted have begun to develop some partnerships in the wireless arena, we are very encouraged by that, our research and development team in the distribution area is focused on continuing to find, develop and embrace those opportunities.  Wireless, it’s because we see all of those platforms as radio, as Mark mentioned in his opening remarks, we’ve gone beyond just the tall towers in big field business, we really are delivery platform agnostic in content evangelistic, we think what we do extraordinarily well is to find create, develop and promote talent and we’re excited by the opportunities that we have with folks like Motorola, Google and we expect others as the year develops, it help us distribute this great content.
Operator: Thank you.  We’ll take our next question from Eileen Furukawa of Citigroup.
Eileen Furukawa: Hi thanks for taking the question.  Would you categorize your radio outperformance is more weighted towards rate increase in this quarter or on 60 second inventory or increase ability to sell your shorter ads.  Also, did you see a noticeable boost in, from market share gains, from station that where previously starring station and is so do you expect the launch of, Opie & Anthony will have an impact to your numbers?  And as a quick follow up on the prior free cash flow questions is it special dividends that’s a possibility?
John Hogan: Okay, our increases as you asking the question as, but my answers were yes, yes and yes.  We did see rate increases, we did see increases in the percentages of shorter length, sold which are both very encouraging.  And however I will share with you another metric that Mark mentioned in his opening remarks and that is yield per minute, we have seen that increase over the first quarter as well and for us in a limited inventory environment, our ability to get the greatest yield from every minute maybe the most significant metric and we did see improvement there.  We were really encouraged by the fact that we are now selling north of 35% of our inventory in shorter length commercials we have seen a real acceptance and embrace of the different spot lengths 30’s, 15’s we are even beginning to sell some number of, what we called outlooks which are 5 second spots, we have seen the benefit of our inventory management and rate management system and are seeing, we think very encouraging directional improvement in, in all those areas.  As it relates to, to the start markets, I would say it’s a little bit too early for us to tell if we are gaining revenue because of that, I will tell you or just exclusively that, I think that in our large markets like New York, we gain back a little over 3 share points in Los Angeles, we gained back a share and half and we are seeing that across the country.  As it relates to Opie & Anthony and they’re debut, all I would say is I am really sorry to see David Lee Roth Show.
Mark Mays: With regard to the, and with regard to the special dividend, I would tell you, in the past we have done special dividends, obviously we’ve bought back a lot of stock as well, and so as we look at the different leverage that we can use to return capital to shareholders we are afraid to use either one of them.  With that being said, we are not totally focused on financial engineering, but we are focused on is how can we put these operating divisions in environments which is going to enable them to grow as fast as they possibly can.  So that’s our primary focus, we think we have that structure in place now and so you should expecting us to focus on improving our operations and performance as we have demonstrated in Q1.
Eileen Furukawa: Thanks a lot.
Operator: Thank you, we’ll hear next from James Dicks of Deutsche Bank.
James Dicks: Good morning everybody, couple of questions first just on in comparing Outdoor versus radio looking forward, it looks like the Americas pacings for that, for revenue are kind of below where they were at this time last quarter whereas radios are actually better, if so could you give a little bit of color to the extent you had it on the different revenue growth patterns you are seeing for Outdoor in particular, domestically this quarter, and then just on Outdoor, internationally, if you give any color on the growth in the UK and in France and also how is your restructuring in France proceeding?  Thanks.
Mark Mays: Okay I am going to pass that question over to Paul, but I would tell you James we are very optimistic about our Outdoor business and particularly our Americas Outdoor business.  And I think it goes back to what I called that Outdoor renaissance what is this marketers are looking at Outdoor as a very attractive medium.  Why is it attractive medium?  It’s very cost effective forum, it has dramatic reach, it has ability to cut through clutter.  And, so, we are definitely seeing no slowdown in the movement of advertisers using Outdoor as a medium for there marketing purposes.
Randall Mays: Yep, Mark, I would, I’d confirm those general observations.  I would say first of all on pacing in the Americas I think, I think we have seen a little bit of a slowdown in the second quarter in our national sales, but really when you look carefully at that, I think a significant portion of that has been movement out of the second quarter into the third and fourth quarter.  And so as we look out beyond the second quarter, we really are very confident about how we are going to perform in the Americas over the balance of the year.  And I frankly expect even our second quarter pacings will improve.  Similarly, internationally, we’ve had a dip in the second quarter, I think a major factor in the second quarter was, we have been slow in the UK, interestingly though we’ve had a strong, we’re having some strong pacings in France which has been a difficult country for us.  And we expect our pacings internationally to improve as we continue through the second quarter and to improve beyond the second quarter into the latter half of the year.  So we are very optimistic about how both of those businesses will perform over the balance of the year.  On the social plan, unfortunately the nature of that process is one that we don’t completely control, it’s the, the loss are such that unions have a very significant impact on the timing of that process.  But the, in the proper, the process continues to go well, we had originally hoped that we would complete the process by April 1, we are slightly behind schedule, I would say that realistically we are probably going to complete the process somewhere around the June 1, I don’t think that delay will have a meaningful impact on our anticipated cost savings in France, in 2006, it will have some impact but not material.
James Dicks: Thanks very much.
Operator: Thank you.  (Operator Instructions). We’ll move next to Marci Ryvicker of Wachovia.
Marci Ryvicker: Thanks I have two questions, one radio, one Outdoor,  On the radio side, do you feel that your Spanish language radio stations are taking share from the incoming groups in those markets or are they growing in the overall Hispanic advertising pie, and secondly, in Outdoor, can you tell us how many digital billboards excluding the two networks?
Mark Mays: On the Hispanic, I think the answer is yes and yes.  We have introduced what we take our very, very compelling products into a number of different markets.  We are seeing a significant audience and ratings growth and I’m sure that we are having impact on the competition.  But I also believe that because we are offering new and different products, because we are offering a different advertising environment, because we are offering more and different solutions even in the Hispanic arena that we are creating new dollars.  With regard to outdoor, Paul?
Paul Meyer: When you ask about digital displays other than the two networks that we deployed, that question is a little bit difficult to answer with real position because we have set a wide variety of digital displays, everything from the spectaculars in time square which our digital displays to, are recent pilots in the, in the mall division, our fruit port displays in the mall divisions.  I mean, if you add all of those varied digital displays up, I would estimate that we probably have somewhere between 75 and 100 different types of digital displays.
Marci Ryvicker: What about billboards only, because I think during a road show, you had 20.
Paul Meyer: Billboards only I would say separate and apart from the digital displays, we are probably somewhere around 30 and we do have a number of markets that are continuing to look at deploying individual billboards, but I think that is we made clear, our real focus and our real strategy because we really strongly believe a future, the real future, the transforming future if you roll a digital technology for Outdoor is in sophisticated network systems.  So that remains the focus of our strategy even though we continue on a market-by-market basis to deploy some individual units.
Marci Ryvicker: Thank you very much.
Operator: Thank you.  We will hear next from Anthony DeFlemente of Lehman Brothers.
Anthony DeFlemente: Good morning and thanks for taking my question.  First question, quickly on expenses sorry, if you mentioned this earlier, your radio expenses were up 5.6% in the 1Q just looking on the, on the composition of that, was that more programming versus HD investment if you can elaborate that would be great.  And then your expectation as to whether that accelerates or decelerates sequentially throughout the year?  And then second question, you talked a little bit about Diane Warren, you have 5-years to use it, would you consider selling your TV station on that note, we think your TV stations generate about $100 million to $110 million in cash flow, can you confirm that?  And then finally if, if not asset sales; are there any other ways that you can use that under well?  Thanks for the question.
Mark Mays: All right Anthony we will clearly joined us late.  As you, as we said in our opening comments, the radio expenses we did anticipate to increase more in the beginning of the year and less in the back half the year, but for the entire year we expect our radio expenses to be 3% to 3.5%.  John, do you want to get into the little bit of the breakdown?
John Hogan: Yeah Anthony the, the majority of the expense increases tied to programming and our initiatives that is where the bulk of our investments have been made.
Mark Mays: With regard to the comments on Television we don’t, we don’t, we are not going to break that out for you or give you any type of our specific cash flow numbers.  I would say that we do like our TV billboard business as ability to utilize the existing brands particularly those are synergized with our radio group and they have a great content that they are extending online as well.  So we like that part of the, of the business.  As we look at it and with regard to the comment on the capital loss you should expect that will be very delivered and methodical on how we go about analyzing that.  It is in absolute loss and we can utilize it at in anytime over the next 5 years.  So we are in no rush to do that.  Again, it goes back to, we are very focused on our operating performance and how we can create environments and make our operating divisions grow as fast as they possibly can.  We believe that that’s in a best long-term interest to the shareholders.  And as we perform well that will continue to, to drive the stock price.  So, that’s what we are 100% focused on.
Anthony DeFlemente: Thank you Mark.
Operator: Thank you.  We will have next from John Klim of Credit Suisse.
John Klim: Hi good morning and thanks for taken the questions.  Could you comment a little bit on how the auto category performed in Q1 at both Outdoor and radio and are you seen any signs of that category picking up as we move through the year?  And then secondly, what percent of your revenue currently comes from the internet and other new distribution platforms and where do you anticipate that percentage been in say 3 to 5 years?  Thanks very much.
Mark Mays: Good question.  As we look at, at the auto category, in Outdoor, less growing in the first quarter; so it increased, if you look at it on the radio side and you combine both well local and national, for Clear Channel the automotive category decreased, the other categories in radio that did not perform well for first quarter for Clear Channel, again, its just Clear Channel automotive and telecom did not perform well, the services performed extremely well, as well as entertainment help in duty.  So, I guess you rolled over the next year of the categories on how automotive specifically is doing.  With regard to, I think right down the second question about the percent from, the percent of our revenue comes from the internet and other initiatives it’s currently less than 5% we’ve expect it to grow, and to grow pretty rapidly over the next 3 to 5 years.
John Klim: Thanks very much.
Operator: Thank you.  Next we will hear from Jason Helfstein of CIBC World Markets.
Jason Helfstein: Thanks just one question.  Given the weakness that XM is seeing in their stock price and I think people are asking a lot of questions about kind of, how specifically that management is running their business.  And given your kind of, long-term relationships involving with that company, can you talk about perhaps how you think about that business and to the extent that we continue to see that stock decline.  Is that something you guys would ever consider buying that company for obviously a lot of long-term strategic reason, so kind of want to just turn it open kind of, very open at this question, how you want to talk about that?  Thanks.
Mark Mays: I don’t think we would make any, a point on any type of this.  We’ve always said we are not going to discuss any acquisition that we would look at, clearly in our opinion, if we could have the multiple of revenue that XM currently has and we certainly love to obtain that revenue multiple.  Because we can’t trade on cash flow multiple.  So I think that’s all the comments we make about that.
Jason Helfstein: Maybe talk about kind of how your relationship is today with XM as far as you guys program foreign stations for them.  And I think just been other things you guys are doing together?  And then as far as the ownership that you guys had that you hedged out just give us an update on that as well?
Randall Mays: Okay let me talk about the operating relationship that we have with XM we actually program 10% of the spectrum which is, which is more than 4 channels it is around 12 channels.  And we do a variety of different kinds of programming on there.  We have some music programming, we have some talk programming and as we do with our terrestrial and HD and HD2 and internet business, we are always looking for new ideas and innovative new programming to put on to that distribution platform.  We do sell commercials on our music channels on XM; we have just very recently begun a conservative sales effort there.  And we will be looking to monetize that opportunity.
Jason Helfstein: Okay thank you.
Operator: Thank you.  Next we will hear from Tuna Amobi of Standard & Poor’s.
Tuna Amobi: Thank you very much for taking the question and I want to add my congratulations as well for the very strong radio performance.  My question is on HD radio, just to get a sense of, your longer term plans for high debts and what percentage of your stations right now are doing HD and HD2?  And, how you see the revenues from multi casting, are you making any meaningful revenue gains from multi casting today?  How do you see that, in this model evolved in over the next few years?  Thank you.
Mark Mays: Okay Tuna, thank you those are good questions.  As we are very about HD radio and we have made tons of capital investments across our technical platforms in order to incorporate that into our long-term strategic plans.  If you look at it, we currently have over 250 radio stations that have a better HD radio compatible.  And with that we have over 125 that have HD2 signals which are multi casting capable.  So as you can see, we are very optimistic, we’ve made an enormous push into HD radio because we think it is such a compelling proposition for consumers.  Now as we look at that one of the things that we know we have to do is have more consumer acceptance and the 2 things that are going to drive, we believe the consumer acceptance are getting the price point down on the radio and secondarily getting audio automotive distribution and we think we are progressing around, down both of those roads, very fast so we are excited about that.  As you look at it for the next couple of years is our belief that the simulcasting of the HD2 signals will not be revenue generative.  In other words, we are not running any commercials over there right now, because we want to make it a great consumer proposition.  So your expectations for the next couple of years should be that it is not revenue accretive but over the long-term we believe it will be very accretive.
Tuna Amobi: Okay, that’s very helpful, I just to have quick follow-up, are you going to focus mostly on the larger markets, are you, do you at some point, plan to convert the entire station, 1200 stations?
Mark Mays: Yeah I mean we have very much and on the top 50 markets, we’re already rolled out and with our HD2 Simulcast.  So we definitely are doing it focus on a population base but you should expect us to continue to move down market over the next couple of years as we’ve rolled up in top markets.
John Hogan: We have rolled out the top 50, we have plans to end the top 100, rolled out by the end of 2007, and our long-term is to do nearly a 1000of our radio stations.  So as Mark said, we are very committed to it, it is one of the additional distribution platforms, where we are going to compete as it relates to the revenues, Mark made great observations, I think when we do begin to provide advertisers opportunities on HD you’ll see continued choices and lots of different ways to use that medium.
Tuna Amobi: Thanks again.
Operator: Thank you.  You’ll now hear from Philip Olsen of UBS.
Philip Olsen: Yeah hi, just a question and a follow up on the balance sheet, during the call you indicated again that you are kind of committed, maintained metrics that you believe are consistent with investment rate, I guess over the past couple of weeks we see both Moody’s and SEC come out and indicate more stringent metrics that they are targeting in order for you to maintain investment rate, so I guess specifically the question is do you intend to maintain metrics, just inwards what the agencies have articulated as being required for them to give you investment rate?
Paul Meyer: Sure, I mean, I think if you are, as we said I think we meet our leverage right now, its just 3 points, it’s just 3 points?  I am not sure what that feedback is, our leverage is about 3.6 times, we produced tremendous amount of free cash flow which is why we’ve been able to buyback lot of stock and pay a very healthy quarterly dividend and not have a significant increase in our leverage and we feel very strongly that we are a solid investment rate company, as you know, as you noted the rating agencies have expressing concern about the radio business, we don’t share that concern, I think for all the reasons that Mark and John have articulated on this call, we feel very good about our radio business, and therefore we feel very good about our ability to continue to produce cash flow and keep our leverage at attractive levels.  All of that being said, we are going to run the company in a way which we think is going to maximize our equity returns long-term and right now that means that we are going to continue to run in a leverage band of 3 to 4 times.
Philip Olsen: And as a quick follow up, in terms of your plans over the course of this year to access the term that market you have the maturity come up later this year, as well as existing borrowings on the bank line, any sense of overall size and timing future issuance?
Mark Mays: Yeah I mean, if you look at it right now, we have the $750 million maturity coming up at year end, we have more than sufficient capacity under bank lines and free cash flow that we produced to take care of that, so I don’t see in the short-term is going back to market, for any of that issues.
Paul Meyer: But at the same time you should expect us to be opportunistic.
Philip Olsen: So, to just a, you do or don’t expect the back to market in 2006?
Mark Mays: Right I think that we are, we intend to be clear.  There was a, wait, you kind of, got double teamed on that.  We don’t have to go back into the market, we have more than enough capacity under our bank facilities and with the free cash flow that we throw off, more of noted which is correct we are always opportunistic and if there is an opportunity to do something that we feel as attractive on a long-term basis, we would do that, we don’t have to do anything.
Philip Olsen: And just I guess final question, is based on current model leverage as you calculated yearend ’06, where do you think that would be versus leverage March 31?
Mark Mays: I can’t tell you that.
Philip Olsen: Okay, thank you.
Operator: Next we’ll hear from Michael Maysinson of Sanford Bernstein.
Michael Maysinson: Okay thanks, I have 2 questions, one is you guys probably noticed that year-to-date contract assets have been regarded, CCU and CCO was up fully more as of to course up yet CCU which owns 9% of CCO is down.  So I was wondering if you already thinking all of your session to flow be only 10% of CCO, do you have interest in spinning out more IPO in the rest that’s one.  And two is, it also seems that radio pacings cannot be indicative of final year quarter results, and you have been saying that your money is coming later.  So I wonder if actually pacings are relevant given that the buying patents have changed.  So can you talk about of kind of, what you are seeing on the buying cycle, and then the decision of slow down only 10% of Outdoor?
Mark Mays: Okay good, good question.  I think if you look at it, we, again, it is our focus to create operating environments that enable our division to grow as fast as they possibly can.  As you look at it we actually think we’ve been very successful with our structure with Outdoor, we get the benefits of the synergies of having it, be in with the parent company that an advantage both Outdoor and the radio.  So we like host advantages, at the same time it give us the ability to have a separately traded public stock.  So we are very happy with our structures.  And we think that’s part of the reason why we are performing so well.  So I would tell you that we don’t want to create any financial engineering it doesn’t enable us to, to grow our cash flow as fast as we can.  With regard to radio pacings, I’m going to let John talk about that a little bit.  Clearly, our advertisers are having a shorter term buying cycle and that has continued over the years, and that’s true whether here on radio or Outdoor.  So as we look at it, we don’t look just causing information, but we clearly look at it as an inventory, and how our inventory looks, and what’s being sold across our inventory, and what capacity we have, as we move to the quarter.  And that’s one of the things does not given in the pacing information its difficult for you guys to see you have understand we are looking at it very diligently.
John Hogan: It’s exactly right and visibility has remained somewhat limited, although because of our reduced inventory environment and the work that we have done in educating our customers, we are beginning to see that shift a little bit.  We rely heavily on the proprietary inventory and rate management systems to allow us to see in real-time with incredible granularity and accuracy exactly how much time we have available on any one of our radio stations for any point in the future after 52 weeks.  It has given us the ability to manage that inventory, to price that inventory, to be in an advantageous position.  We are seeing demand from advertisers in May, we have inventory available.  We have great diagnostic ability, and we think that we are monetizing that diagnostic ability very, very efficiently.
Michael Maysinson: Okay John, can you just a follow up, it is there a difference between the timing in large markets for small markets, local versus national, in terms you have money coming in later, it makes different spy type of, of client or market?
Mark Mays: Well there’s, there were tremendous differences.  It differs from, from station to station the higher rated more effective stations are going to have a great visibility because the advertisers know there’s going to be more demand there, it varies based on, on the communication skill set of, of a particular sales deck in those markets where we have, the, most aggressive communication where our sellers are out on a regular and frequent basis talking about our inventory and pricing status, we get greater visibility.  There are, some markets where the overall been like Philadelphia for example, the demand for the market hasn’t been that strong there is no motivation for the advertisers to, to book earlier then they been so the sure answers is yes there’s a lot of variability but its driven by difference things in different markets.
Michael Maysinson: Okay, thanks.
Operator: You next will hear from Mark Winkus, Goldman Sachs
Mark Winkus: Thanks, one question one follow-up could you gives us like a status update on new audience measurement programs for both radio and Outdoor?
Mark Mays: Okay, Paul wanted to jump in first.
Mark Winkus: Sure.
Paul Meyer: Well.  As you may have read in the press, the traffic audit bureau has recently selected a very highly regarded international research company to complete the third part of its measurement system and I think the industry generally is very excited about, about that TAB initiative that we anticipate that by the end of 2007 TAB will have fully-integrated measurement system for Outdoor which quite frankly, for lot of reasons we think will be the best medium measurement system available.  So we are very excited about that.  At the same time, Neilsen continues to pursue its, its measurement system and has announced that it will bring that measurement system to Los Angles.  So, things are going, I think very well on the, on the measurement side for outdoor, I know it has seen to a lot of you that we have been preceding with this process, with less diligence than may be, you might think we should, I can assure you however that the real focus that the industry has been, this is a very, very important step and what is critical for us is not that we do it, but we do it correctly.  And so, we have taken the time that you deliberative about it and to make sure that its the end of the process we nearly do have the first grade state of their measurement system for our medium.
Mark Mays: And you know it’s interesting because many of those same comments reflect the situation in, in radio.  We as a company and the industry collectively are very committed to getting the most accurate, reliable, consistent audience information that we can.  We have gone through an RFP process, there is an industry committee that has reviewed a significant amount of information and data, we have been highly encouraged by the options and by the opportunities that we have seen and that can potentially improve the, the audience, the audience measurement.  But also for the radio industry, this is a significant decision, the currency that we use to measure audience is one that, that has great importance that will have a long tenure we think and so while we wanted to do it, we are more committed to doing it correctly.  We have seen a number of alternatives or ideas or options that we think can be, can be very helpful, we have gone back to a number of suppliers and shared with them as an industry and what we think are the system requirements or the best practices that should be included, obviously one of the, the key components of this, is that it has to make sense financially for us.  There is, there is no way that we can, that we can pass along unacceptably high cost to our advertisers.  There is no way that we can accept either return on, on an investment and rating systems that doesn’t lead to incremental growth in the radio industry.  And so that remains one of the bigger challenges.  We continue to focus on it individually and collectively, we are making progress and, and as I said remain very committed to, to doing it right and then doing it as quickly as possible.
Mark Winkus: Okay, thanks, thanks for the detail.  My follow up question, one of the stated reasons for the IPO of the auto business was to participate in the, expected consolidation of the industry and with businesses, momentum pretty strong or an international improving some, we think its holding back these from happening how do you feel landscape changing both domestically and internationally.
Mark Mays: I think what you’ll you see is, is, as more people are excited about the visual opportunity that probably as a little bit of the sellers reluctance but I wouldn’t, I wouldn’t tell you that I would rule that out as we know opportunities will come up and opportunities will persist, we did that fairly, think it happened in first 4 or 5 months but you should expect that we are continually looking at it and that there should be opportunities that are continue to arise and we will take advantage of those opportunities.
Mark Winkus: Okay thank you.
Operator: Thank you.  Next we’ll hear from Lorraine Manzini of Merrill Lynch.
Lorraine Manzini: Thank you, two quick questions.  In terms of your radio group, maybe the best, I look at this is coming up but you had high single digits, double digit rate increases last year and early this year, it looks like it probably still getting move to mid single digit increases, how much of that do you think you monetized and how much is still ahead of you, and this is an 18 month process or how long do you think.  And then second in your radio division of the growth that you are seeing is there some level coming from NTR what we are seeing in the industry, is that NTR is much stronger than the core business?
Mark Mays: Okay.  I think, the best way to answer that question is that it is, it is an ongoing process, and that the whole inventory management, rate management, and yield focus is one that is never really completely finished, we’ll always be looking for ways to get the optimal return on the limited inventory that we have.  We have been very encouraged by our ability to sell more shorter length commercials, as I said that number is now in the mid 30s for the same quarter in 2005, it was in the mid 20s, and before we initiated the reduction in commercial inventory it was in the mid-single digits.  So we’ve seen a great increase in ability to sell those.  We have seen, an increased ability to price intelligently to get the greatest return, and that is going to continue.  As it relates to NTR in Q1, we did see some mid teen increases in our NTR business, what’s notable about NTR for us is that, not only are we seeing increases in the revenue, but we are getting more efficient in the way that we produced these events, and so they are becoming more profitable for us.  That was a process and a focus that we started a couple of years ago but it was not just to have these be a revenue generators but to be profit generators, another example of the different philosophy that we have, we are value and profit driven as suppose to simply revenue or share driven.
Lorraine Manzini: Great thank you.
Operator: Next we will hear from David Bank of RBC capital.
David Bank: Thanks very much, good morning.  Just a quick question I guess going back to something that Paul had mentioned earlier, I think if I had it right, which was got the sense that some of the business that, some of the softness in the Q2 domestic business was potentially due to business being kind of pushed out into the third and fourth quarter, if I had heard it right.  And you just wanted to clarify that Paul, is there any reason why you think that business is being sort of being pushed out, into the second half of the year?
Paul Meyer: No, no particular reason I think we just, we had a couple of fairly large buys where product launches simply got delayed somewhat and so the business moved out of the earlier portion of the year into the later portion of the year.  But as is said earlier when we, as we look out at Q3 and Fourth quarter, we are really extremely optimistic about how those quarters will perform.  So, we continue to look for a very, very strong year, in Outdoor in the Americas.
David Bank: Okay, thank you.
Mark Mays: And I think has someone pointed out earlier in the call, pacing information is sometimes, so one data point is not holistically as inductive and as Paul, and I have both said, we are very optimistic about the whole year and you should take that one data point out of context.  So we are very optimistic about the entire year.
David Bank: Okay thank you.
Mark Mays: Last question.
Operator: Thank you we will take our last question from John Blackledge of JP Morgan.
John Blackledge: Hi thanks for taking the call.  If you look at the recent media metrics comp score data the number of unique visitors on Clear Channels internet properties is definitely starting to rival, some of the large internet radio providers, I think this if kind of asked before but wondering if you would breakout, I had a certain points when you would breakout for investors, you are internet radio, revenues for transparency for investors.  Thanks.
Mark Mays: Well before we talk about whether we would break it out let me take a minute to talk about the actual growth in the metrics, they are, I think it’s an impressive story, we have seen there is a lot of different metrics one is the number of unique visitors to our website that’s around 53 plus percents since the beginning of the year.  The demand or the call for video-on-demand has risen over 1000% in the last couple of months.  Our streaming numbers are up over 300% from the first part of the year, and so we are highly, highly encouraged by those results.  While they are great results we are particularly surprised by them, because we have done a couple of things.  One, we have invested in creating very high quality, compelling, unique, informative, entertaining websites that are driven by our terrific terrestrial brand.  We think the promotional capabilities that we have at our terrestrial radio stations to drive people, to our online sites is really unparallel, and will help us continue to increase the number of people who are accessing our websites.  As we have more people accessing those websites will have more opportunities to monetize it, and I am going to let Randall answer the question about whether we will break it out separately.
Randall Mays: Yeah, I think in such time where it makes sense to break it out we will, I think right now, we don’t need to, but at some point in the future once it gets to be a bigger piece which we hope it will and we think it will, then at that time we will.
John Blackledge: Thank you.
Mark Mays: Thanks for taking the time this morning to, join our call.  As I said, we are very focused on our strong operating performance, and our ability to provide environments which are, enabling our divisions to grow as quickly as they can.  We are very focused on cash generation.  We are very focused on innovation.  And we are very focused on aggressive execution of our plan.  With that, we want to thank you again for joining the call, and have a great day.
Operator: That concludes today’s conference.  We would like to thank you all again for your participation and wish you a great day.